Operator: Good morning, and welcome to Phillips Edison & Company's First Quarter 2021 Results Presentation. My name is Chuck, and I'll be your operator today.
 Before we begin, I would like to remind our listeners that today's presentation is being recorded and -- excuse me, simultaneously webcast. The webcast and slide presentation containing financial information can be accessed by visiting the Events & Presentations page in the Investors section of the Phillips Edison & Company website at phillipsedison.com or at phillipsedison.com/investors. A replay of today's call will be available later today on the same website.
 I would now like to turn the call over to Michael Koehler with Phillips Edison & Company. Sir, please proceed. 
Michael Koehler: Thank you, operator. Good morning, everyone, and thank you for joining us. I am Michael Koehler, Vice President of Investor Relations with Phillips Edison & Company. Joining me on today's call are our Chairman and Chief Executive Officer, Jeff Edison; our President Devin Murphy; and our Chief Financial Officer, John Caulfield.
 During today's presentation, Jeff will review our first quarter highlights, provide details on our updated estimated value per share and review our portfolio. John will then provide details on our financial results and the balance sheet. Jeff will then return to speak to the historical performance of PECO, provide some closing comments, and lastly, discuss our proxy. There will not be a question-and-answer session today, given that we are in a quiet period because of our recently filed registration statement with the SEC.
 Before we begin, I would like to remind our audience that statements made during today's call may contain forward-looking statements, which are subject to various risks and uncertainties. Please refer to Slide 3 for additional disclosure and direction on where you can find information regarding potential risks.
 In addition, we will also refer to certain non-GAAP financial measures. Information regarding our use of these measures and reconciliations of these measures to our GAAP results are available in the slide presentation for this webinar, which can be downloaded on our website.
 Now please turn to Slide 4, and I will turn the call over to Jeff Edison, our Chief Executive Officer. Jeff? 
Jeffrey Edison: Thank you, Michael. Good morning, everyone. The momentum we saw in the first quarter of 2021 exceeded our expectations. Lease portfolio occupancy increased to 94.8% from 94.7% at the beginning of the year. Collections were over 95% for the quarter, with 100% of our occupied spaces were open for business at March 31, 2021. The strong leasing activity we saw through the end of 2020 continued into 2021. In Q1, we executed 316 leases totaling 1.4 million square feet. Both results are all-time highs for PECO. 
 Comparable new lease spreads were 12.4%, and comparable renewal lease spreads were 8%. Demand from retailers to be in our well-located grocery-anchored centers was strong. It drove our improved results for the quarter.
 Please turn to Slide 5 for a discussion on our recently updated estimated value per share. As they have done for the past several years, Duff & Phelps, a leading independent valuation firm, performed its annual valuation of our portfolio. Our omnichannel grocery-anchored neighborhood shopping centers performed well on a relative basis through the pandemic and have rebounded strongly from 2020.
 We are pleased to report that our Board of Directors established our updated estimated value per share at $10.55. This represents an increase of approximately 20.6% from our previous estimated value per share, which was announced in May of 2020. And this represents an increase of 5.5% above our offering price of $10 a share.
 Our new share price was at the midpoint of the range provided by Duff & Phelps, which was $9.87 to $11.22 per share. The increase in the value of our share price was driven by several factors, including the significantly improved outlook for retail shopping centers. Lower discount rates resulting from a more stable economic environment, the approximately 4% decrease in share count resulting from our Q4 2020 tender offer.
 Now turning to Slide 6. From a microeconomic or PECO perspective, our assets are performing well. Our tenants, who you know we call neighbors, have demonstrated strong resilience throughout the difficult economic conditions caused by the COVID-19 pandemic.
 As of March 31, 2021, 100% of our occupied spaces were open for business. In fact, we've seen customer foot traffic surpass pre-COVID levels. For example, the month ended March 31, 2021, our foot traffic was 104% compared to the average monthly levels during 2019. This is according to data provided by Placer.ai.
 As the economy reopens and our neighbors continue to rebound, we believe the market backdrop for our portfolio appears increasingly strong.
 From a macroeconomic perspective, we believe there are a number of trends that are positive for us. We continue to see favorable population growth and migration to the sunbelt. This is where close to 50% of our ABR is generated. We are also seeing a population shift from urban centers to nonurban and suburban areas. Our properties are generally located in suburban markets in neighborhoods rather than in urban or downtown areas. 
 The net population flow out of U.S. urban neighborhoods and into nonurban neighborhoods doubled between March and September 2020 as compared to the average for the same months in 2017 to 2019. This is according to the Federal Reserve Bank of Cleveland.
 Many employees continue to work from home. Businesses are considering remote or partial remote work arrangements with their employees. When consumers work from home, we believe they are more likely to shop near their home. This is where our centers are generally located. We have seen an increase in consumers supporting local and small businesses. Our local neighbors have benefited from the support of their local communities.
 Importantly, we see retailers continuing to adopt omnichannel strategies. They integrate their bricks-and-mortar stores with BOPIS, or buy online, pickup in the store, and with last-mile delivery. As an omnichannel landlord, we believe our assets are well positioned to facilitate last-mile delivery, serve the BOPIS customer and support traditional brick-and-mortar retail, due to the regular foot traffic of our grocery-anchored centers. And finally, we believe we're benefiting from some formerly mall-based businesses relocating to more convenient open-air shopping centers like ours.
 Slide 8 provides an overview of our portfolio at the end of the first quarter. As of March 31, 2021, our portfolio consisted of 278 wholly owned shopping centers located in 31 states, totaling 31.3 million square feet of GLA. Over 96% of our annualized base rent comes from centers with a grocery anchor.
 At year-end, our lease portfolio occupancy was 94.8%, and our in-line occupancy was 89.8%. Our total portfolio ABR per square foot was $13.06 at the end of the quarter, an increase of 3% from a year ago. Our in-line, or non-anchored ABR, was $20.84 per foot. This was an increase of 3.6% from a year ago.
 Our centers have an average 3-mile household income of over $68,000. And an average 3-mile population of 61,000 people. Our experience has proven that these metrics support the health of our neighbors and the merchandise mix of our centers. 75.9% of our annualized base rent came from grocers and national and regional neighbors, representing a strong credit-worthy neighbor base.
 Our top 5 markets by ABR are among the top 20 MSAs in the United States. They include Atlanta, Chicago, Dallas, Minneapolis and Denver.
 Slide 9 illustrates our top anchor and in-line neighbors. Kroger and its brands are collectively our largest neighbor, making up 6.6% of our ABR across 60 centers. We are scrubber's largest landlord. Publix is our second largest neighbor, making up 5.6% of our ABR across $0.56 centers. We are Publix' second largest landlord. Rounding out the remaining top 5 neighbors are Ahold Delhaize, Albertsons/Safeway and Walmart.
 Our top 5 in-line, or non-anchored, neighbors are Subway, Anytime Fitness, Wells Fargo, Great Clips and H&R Block. We have seen continued strong leasing activity at our centers as illustrated on Slide 10.
 During the first quarter, we executed a record number of leases, we executed 316 leases, including new leases, renewals and options. This totaled 1.4 million square feet. The square footage lease was also a record for PECO, this compares to 214 leases executed, totaling 1.1 million square feet during the first quarter of 2020.
 During the quarter, comparable rent spreads were 12.4% for new leases, 8% for renewal leases and 9.3% combined. Our leasing team has been busy executing both new and renewal leases during the quarter and with high-quality neighbors like Publix, Starbucks, UPS, Jersey Mikes and Supercuts. We've had a very good first quarter.
 With that, I will now turn the call over to John Caulfield, our CFO. John? 
John Caulfield: Thank you, Jeff, and good morning, everyone. Please turn to Slide 12, where we'll discuss our Q1 2021 collections. Our hard-working associates have been committed to working closely with our neighbors throughout the pandemic. These efforts continue to pay off.
 Our second quarter 2020 collections have increased to 93%, up from our originally announced figure of 86%. Our third quarter 2020 collections have increased to 96%, up from 94%, and our fourth quarter 2020 collections have increased to 96%, up from 95%. These positive results continued through the first quarter of 2021 as we collected 95% of rent and recoveries build, and this trend continues to improve.
 Slide 13 reviews our year-to-date same-center NOI, or net operating income. We have been successful in mitigating the impact that the COVID-19 pandemic had on our portfolio but our results were impacted, nonetheless. Our first quarter 2021 same-center NOI decreased 0.9% to $86.5 million from a year ago.
 Results were driven by a 0.8% decrease in average same-center occupancy and an increase in rent abatements as PECO works with certain neighbors in helping them recover from the negative impact of the COVID-19 pandemic. Partially offsetting this decrease was a $0.52 or 4.1% increase in the same center average base rent per square foot.
 Please note that our same-center NOI includes 274 properties that we have owned and operated since January 1, 2020.
 Slide 14 outlines our net income and core funds from operations, or core FFO, for the quarter ended March 31, 2021. Our core FFO increased 5.5% to $63.6 million. On a per share basis, core FFO increased by $0.02 to $0.20 per diluted share during the first quarter of 2021. The increase in core FFO for the first quarter of 2021 was driven by the consistent property earnings that I just spoke to, lower interest costs and decreased general and administrative expenses. Core FFO per share also benefited from fewer shares outstanding as a result of our tender offer, which closed in December 2020.
 Slide 15 outlines our debt profile and maturity ladder as of March 31, 2021. Our net debt to adjusted EBITDA was 7.4x at March 31, 2021, compared to 7.3x at December 31, 2020. At March 31, 2021, our debt had a weighted average interest of 3% and a weighted average maturity of 3.8 years. Approximately 70% of our debt was fixed rate. This compares to December 31, 2020, when we had a weighted average interest rate of 3.1%, a weighted average maturity of 4.1 years and approximately 75% fixed rate debt. While we are comfortable with our leverage in the current environment, we would like to continue to improve this ratio over time.
 Lastly, we have $490 million of borrowing capacity available on our $500 million revolving credit facility.
 I would now like to turn the call back over to Jeff to discuss our historical performance. Jeff? 
Jeffrey Edison: Thanks, John. Please turn to Slide 17, which outlines PECO's historical investment performance. We are pleased with our track record of protecting and creating stockholder value. We remain optimistic about the future of PECO. The first PECO common share purchased in our initial offering has received cash distributions totaling $6.37 per share, and the last PECO common share purchased has received cash distributions totaling $4.22 per share. This is in addition to the increased estimated value per share of $10.55.
 Turning to Slide 18. When we make decisions as a company, please note that the long-term interest of our stockholders is always the driving factor. PECO is an internally managed REIT, and we have been that way since the 2017 acquisition of Phillips Edison Limited Partnership. Since that transaction closed, we have not paid any asset management fees or any other management fees to third parties. Collectively, PECO's management is the largest stockholder, owning approximately 8% of the company.
 And lastly, every associated PECO becomes a stockholder after the first year with the company. We feel this encourages our associates to think like owners. We also believe this aligns all of us with our stockholders.
 Slide 19 contains an overview of our proxy for the upcoming annual stockholder meeting on June 18. If you are an adviser, please encourage your clients to vote today. And if you are an investor, please vote today. You can vote online, by phone or by mail. Voting is easy. The instructions are here on Slide 19. Our Board recommends voting in favor of all the proposals, which we believe will help us achieve our liquidity goals.
 Proposal number one, stockholders are being asked to vote on the election of the 8 members of the PECO Board of Directors.
 Proposal number two, stockholders have the opportunity to cast an advisory vote to approve the compensation of PECO's named executive officers.
 Proposal number three, stockholders are being asked to vote on an amendment to the 2020 Omnibus Incentive Plan.
 Proposal number four, stockholders are being asked to approve the amendment of our charter related to our phased-in liquidity approach recommended by our investment banking advisers.
 And proposal five, stockholders had the opportunity to cast an advisory vote to select Deloitte & Touche as PECO's independent registered public accounting firm for 2021.
 I cannot encourage you strongly enough to vote your shares. It's very important. And with that, I would like to turn the call back over to Michael Koehler, our Vice President of Investor Relations. 
Michael Koehler: Thank you, Jeff. This concludes our prepared remarks this morning. I would like to remind everyone on the call today that the contact information for our Investor Relations team is available on Slide 20. Please do not hesitate to reach out if you have questions.
 And lastly, please remember to vote your proxy if you haven't done so already. The sooner we can get your vote, the less we have to spend soliciting votes and the sooner we can move forward with our liquidity plans. If you are an investor, please vote now. And if you are an adviser, please encourage your clients to vote as soon as possible.
 I'll turn it back to Jeff for some closing comments. Jeff? 
Jeffrey Edison: Thank you, Michael. On behalf of the entire management team, I'd like to express our appreciation for the continued support we have received from our stockholders, our associates, our agents and importantly, our neighbors. We look forward to updating you again in the near future. 
Michael Koehler: Thank you for joining us. You may now disconnect. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.